Operator: Greetings, ladies and gentlemen. Welcome to the Vesta Fourth Quarter 2023 Earnings Conference Call. At this time all participants are in a listen mode only. [Operator Instructions] It is now my pleasure to introduce your host, Fernanda Bettinger, Investor Relations Officer. Please go ahead.
Fernanda Bettinger: Good morning, everyone, and welcome to our fourth quarter earnings call. Presenting today with me is, Lorenzo Dominique Berho, Chief Executive Officer; and Juan Sottil, our Chief Financial Officer. The earnings release detailing our fourth quarter 2023 results was released yesterday after market and is available on the company’s website, along with our supplemental materials. It’s important to note on today’s call, management remarks and answers to your questions may contain forward-looking statements. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ. For more information on these risk factors, please review our public filings. Vesta assumes no obligation to update any forward-looking statements in the future. Additionally, note that all figures included herein were prepared in accordance with IFRS, which differs in certain significant respects from U.S. GAAP. All information should be read in conjunction with, and is qualified in its entirety by reference to our financial statements, including the notes thereto, and are stated in U.S. dollars unless otherwise noted. I’ll now turn the call over to Lorenzo Berho.
Lorenzo Dominique Berho: Good morning. Thanks, Fernanda. Before turning to our results, I would like to provide some perspective on our company as we celebrated many significant milestones in 2023, a tremendous year of opportunity and growth for Vesta. We have grown to become the leading premier industrial real estate asset manager and developer in Mexico, and our space has become increasingly more crowded and competitive with continued nearshoring tailwinds. Vesta is differentiated by our 25-year track record of execution excellence, disciplined investment process and outstanding asset quality. So while there are broad industry tailwinds, which Vesta and peers will benefit from, there also are important differentiators. For example, asset quality is an important competitive advantage for Vesta. It attracts and expands our portfolio of best-in-class tenants as well as our suppliers in a virtuous cycle. Vesta’s clients are top tier global companies, many who expanded their relationships with us from one to several facilities during 2023. You have heard me reference Foxconn, best known for being an outstanding manufacturing in the electronics sector based in Asia. During the fourth quarter, Foxconn deepened their investment in Mexico, expanding once again within the Vesta Park, Guadalajara. We also signed with Tesla for the distribution facility in the Bajio region, and BRP expanded its relationship with Vesta, signing a new building in Ciudad Juarez. Our understanding of headwinds and how potential conflicts impact the global economy and supply chains enables us to help our clients understand how we can be helpful in diversifying or transitioning their manufacturing to Mexico. We’re seeing this resonate with more Vesta clients in the electronics, automotive and EV industries. For example, Eaton Systems, Vishay electronic component solutions and Amphenol, which makes electronic and fiber optic connectors, have all shifted their production to Mexico from Asia. Let me turn to our fourth quarter 2023 results, which demonstrates the strong leasing we’re seeing. Best of leasing activity reached 2.7 million square feet, another record high for our company. 1.7 million square feet was in new contracts with top quality companies such as Foxconn in Guadalajara, Tesla in the Bajio region, Eaton, BRP as I have described, as well as [indiscernible] Group and others. 1 million square feet was in lease renewals during the quarter. Close client relationship and deep local experience enable us to know what’s going on in our markets to anticipate and capture opportunities with agile adaptability and quick decisions. This helps drive Vesta’s development pipeline and in 2023, Vesta delivered almost 4 million square feet in new buildings and began construction on 3.2 million square feet. During the final quarter of 2023, we also completed an opportunistic acquisition of 81,000 square in Toluca to an 8.5% estimated cap rate. Importantly, this is aligned with the level three growth plan we presented in June to reach almost 50 million square feet by 2025. Our investment process is disciplined and based on 25 years of experience strategically allocating capital to the markets that matter most. We ended the fourth quarter with a total development pipeline of 3.1 million square feet have been expected investment of $267.1 million and an average cap rate of 9.8%. Total portfolio occupancy for the quarter reached 93.4%, while stabilized and same-store occupancy reached 96.7% and 97% respectively, also reflecting a continued trend of increasing rents. While fourth quarter occupancy declined slightly year-on-year due to the new buildings in our portfolio, this decline sequentially relative to last quarter. We continue to see strong absorption in most of our markets and are actively marketing those buildings still vacant by quarters end, which are in Mexico's most sought out regions, Juarez, Monterrey and Tijuana. As our peers have commented, Tijuana is one of the most constrained markets on the supply side, mainly due to limited land and electricity constraints. However, Vesta's Tijuana properties are not energy constrained, an example of our deep understanding of what's going on in the market and our ability to anticipate demand. 18 months ago we began investing heavily in energy in substations, voltage and ensuring grid connectivity, a significant investment many companies were not able to make. Today, we're in a privileged position with the appropriate infrastructure. We expect Tijuana market trends to further strengthen in 2024, and Vesta's advantage is an important competitive mode, demonstrated by the quality of our portfolio and the rents that Vesta commands. Also note that client switching costs are high when a client secures the right property in the right location with reliable energy, strong labor pools on logistics it results in natural stickiness. We ended up the year strategically executing Vesta's asset recycling strategy, another level three strategy pillar. We sold a 313,000 square foot building in Tijuana from which we extracted 15 years of value for 37 million during the fourth quarter. A premium price reflecting a 6.5% cap rate over market rent and a 4% cap rate over in-place rent. We also sold 8.5 hectares of land in Aguascalientes during the quarter for 5.1 million. Profits from sales will be directed to tax payments, paying down debt and other corporate uses. Vesta has new projects under construction and a strong pipeline, also with substantial demand for Vesta buildings in markets where we're seeing a scarcity of land. We have been successful moving into infill locations within high barrier entry markets and our focus on Monterrey, Mexico City and Guadalajara, which is becoming the Silicon Valley of Mexico with some iconic projects underway. Ciudad Juarez is also leasing up. We're also starting to see strong dynamics and initial signs of rent increase in the Bajio and expect – we'll continue to see rent growth similar to what we have seen in other regions. Sumitomo, Tesla, Eaton, Safran [ph] and Continental all wanted to go to the Bajio for the quality of infrastructure and available skilled labor pools. Releasing spreads have also increased during the quarter. We closed 2023 with renewals and releasing of 4.1 million square feet with a weighted average spread of 6.5% with some regions such as Juarez and Tijuana reaching releasing spreads of above 20%. Importantly, same-store NOI grow 9.5% during the quarter. We deliver exceptional financial results as Juan will expand upon in more detail. 2023 revenues increased more than 20% to 214.5 million with adjusted NOI and adjusted EBITDA margins of 94.6% and 82% respectively. Full year 2023 FFO reached 127.9 million, a 23.6 year-on-year increase, and we invested more than 269 million in innovative, best-in-class projects throughout the year. And Vesta’s portfolio is supported by the industry's strongest balance sheet. Our reputation for prudent capital allocation has engendered investors trust and enable us to return to the market when needed to fuel our growth. I again want to thank the entire Vesta team who have contributed to 25 years of success. Before I pass our conversation over to Juan to review our financials, I'd like to note that 2024 will be a record breaking year for elections. Around the world, more than 2 billion voters in 50 countries will head to the polls, including the United States and Mexico. Many predict a growing adversarial trend in international economic relations, higher business costs, trade restrictions, market instability and policy swings. Vesta believes that with volatility comes opportunities. We'll continue to leverage our privileged position, time earned experience and demonstrated track record to size the opportunities, focusing on our goal, not on obstacles. As we look forward to the year ahead, I'd like to note that 2024 is the final year of strong execution on our level three strategy. We look forward to presenting our plan for the next phase of our journey and continue evolution at our 2024 Investor Day. With that, let me pass our conversation to Juan and I’ll return for some brief closing remarks.
Juan Sottil: Thank you, Lorenzo and good day everyone. Before delving into our financial results, I would like to point out some changes we made in our adjusted EBITDA, adjusted NOI and our Vesta’s FFO calculations. Since 2023, we began to experience certain effects in our business driven by the strong growth of our tenants operations in Mexico, which resulted in significant increases in our energy used. Since we believe that both income and cost derived from our tenant energy used, do not represent a business actively managed by the company and directly related to our operations and strategy, and we decided to adjust certain profitability metrics for a better understanding of our financial performance. Therefore, starting Q4 2023, we are excluding both energy income and cost from the calculations of adjusted EBITDA, NOI – adjusted NOI and Vesta’s FFO. This is also applicable to full year 2023 results and a year-on-year comparisons. You can find detailed information regarding energy income and cost in our financial statements in Note 13 and Note 14. Now let me briefly go to some key financial results. Starting with our full-year performance. 2023 was another year of outstanding results for Vesta as Loren noted. We achieved $215 million in total revenue, representing a 20.5% increase year-on-year, exceeding the upper end of our revised revenue guidance. NOI and EBITDA margin also exceeded our revised guidance by 210 basis points reaching 94.6% and by 50 basis points reaching 82%, respectively. Let me now turn to our fourth quarter results. Beginning with our top-line total revenue increased 17.9% to $55.9 million, mainly due to initial rental revenue coming from new leases and inflationary adjustments on rental property during the quarter. In terms of the current mix, 87.8% of our fourth quarter revenue was denominated in U.S. dollars, an increase from 87.2% from the fourth quarter 2022. Turning to our profitability, adjusted net operating income increased 19.4% to $53 million with a margin expansion of 220 basis points to 98.1%. This was mainly driven by higher rental revenue and lower costs from our rented properties. Excluding both energy income and costs. Adjusted EBITDA reached $44 million in the fourth quarter, a 12% increase compared to the prior year’s quarter, while the margin decreased 365 basis points to 81.7%, primarily due to higher administrative expenses, mainly from the increase in employment’s benefits, auditing, legal and consulting expenses. We closed the quarter with a pretax income of $99.8 million compared to $74.8 million in 2022, which benefited from higher interest income and gain in revaluation of investment properties. Vesta’s FFO increased 20%, reaching $32.6 million.  Moving to our capital structure and balance sheet, as Loren noted, we ended the year with a very strong financial position. Our total debt slightly decreased to $960 million at the end of this quarter. Net debt to EBITDA was 2.4 times and our loan to value was 24%. Cash and equivalents increased to $501 million reflecting the funds raised from our recent IPO and follow on transactions in the New York Stock Exchange. As a reminder, we will use the net profits to fund our growth strategy, including land acquisitions and the development of industrial buildings. In addition, and in line with our commitment to increase value for our shareholders subsequent to quarter’s end on January 15, we paid a cash dividend for the fourth quarter, equivalent to $0.29 in pesos per ordinary shares. Finally, I would like to discuss the outlook for the year. We are expecting to increase revenues between 16% to 17% year-on-year while we expect to achieve 94% NOI margin and 83% EBITDA margin for the full year 2024. This concludes our fourth quarter 2023 review. Operator, could you please open the floor for questions?
Operator: Thank you very much. [Operator Instructions] Our first question comes from Alejandra Obregon from Morgan Stanley. Your line is now open.
Alejandra Obregon: Thank you. Good morning, Vesta team. So, I have a question on your guidance, if I may. So it seems that if I understand correctly, you’re considering some revenue growth deceleration from 2023 highs. So, wondering if you could elaborate a little bit on what’s driving the trend, what’s behind the 16% to 17% revenue growth, and if there is some factor that we need to keep on in the radar for 2024, perhaps on your delivery of pipeline, is that still on track? Anything that could help us understand that deceleration? And then the second question would be about your occupancy in Monterrey at 80%. Wondering if you could talk about the leasing dynamics that you’re seeing in the state and perhaps elaborate where you see the occupancy for your portfolio and where you landing in 2024? That’ll be very helpful. Thank you very much.
Lorenzo Dominique Berho: Well Alejandra, thank you very much for being on the conference and regarding your questions. I think that Vesta has had extraordinary rental growth throughout the years. Clearly, the guidance that we have is way above even our average historic rate of growth in terms of revenues and more than this year. I think that Vesta is a company that will continue to provide rental growth not only this year, but also in the upcoming years. And it’s not about so that’s why and this is coming mostly from the development portfolio, as well as rent increase in the current portfolio and operational results. So more than one year, I think that what is attractive is to see that we have, that we will continue to have good high teens numbers throughout the following years. And I think that that consistency is what drives the Vesta’s main differentiator, which is to keep on investing prudently at above average weather returns. And I think that profitability is exactly what we’re looking for. And this doesn’t mean that there’s in any ways that this is a deceleration. I think, actually that this is having continued sustainable revenue growth is exactly what we’d want to achieve in the upcoming future. The occupancy metric, it’s basically what we have in Monterrey, we have currently five buildings, out of which two of them are in lease up stage. Actually, one of them is in the lease up stage, and that’s why 80% is really not necessarily an important measure because of how much we have under development. Actually, we will start construction of several buildings in Monterrey throughout this year in 2024, early in the year. So the footprint in Monterrey will change dramatically and because of how small the footprint is right now, that’s why the number looks below the average of Vesta. But leasing is coming quite well in Monterrey and construction starts will kick on quite soon. Thank you.
Alejandra Obregon: Thank you. That was very clear. Second follow-up on your first answer. If you were to balance all the assumptions that you’re baking into the top line guidance, where do you think you could see some upside or downside surprise?
Lorenzo Dominique Berho: It’s – we would like to stay on the guidance that we have just provided and for the ones that know us well, we like to give guidance for you to give some clarity and hopefully we can get some better news after this. But as of today, we know that at least we will continue to deliver growth, rental growth in the high teen numbers and I think that’s quite good. And this is – and having sustainable rent growth, I think it’s exactly what we will want to continue achieving throughout the next years.
Alejandra Obregon: Excellent. That’s very clear. And congratulations on the amazing 2023. Thank you very much.
Lorenzo Dominique Berho: Thank you very much.
Operator: Our next question comes from Adrian Huerta from JPMorgan. Your line is now open.
Adrian Huerta: Thank you. Good morning everyone. My questions are around greenfields. We have seen the imply cost per square meter increasing quite a bit over the last few quarters. Now it seems to be up 40% versus what you had a year ago. So if you can just give us some explanations on this. And the second one is on the land bank. Two-thirds of the current greenfields that you have are in the north and in the center and you have limited land bank at the moment. So if you can just tell us what are your plans for land bank and what we could expect in terms of land acquisitions for the year?
Lorenzo Dominique Berho: Excellent. Thank you, Adrian, for being on today’s call. And yes, I think that Vesta has changed in the last years. The most important element is that we have entered certain markets, Monterrey, Mexico City, Guadalajara, and we have been incredibly active in the north part of Mexico. So the increase in cost per square foot comes from first of all the different markets that we are entering and the balance that we have throughout new markets. And also it comes from an increase in construction costs. And an increase in construction costs comes from materials inflation as well as FX because our results are based on dollars. However, even with the approximately 40% increase in construction costs; this is highly offset by the increase in rent in dollar terms by all of the markets where we are currently developing. And that is driving our return on costs to still be at very attractive numbers, way above or at a good spread still to average cap rates in the acquisition market. We will continue with that discipline, even with an increase in cost, we think that the main differentiator of Vesta is to have the ability to have higher returns, even considering the risks and the effects on construction and development, which part of that is an increase in land, increase in construction materials, and also an increase on FX. But we feel very comfortable with the pipeline. We have – we probably this drives me to your second question, Adrian, that we have been acquiring great land reserves in the last years, and actually we have pretty much been able to develop most of what we have acquired and we will continue to acquire this year land in several markets where we are running out of it, particularly the ones that are strategic for Vesta. This includes markets like Tijuana, Ciudad Juárez, Mexico City, Guadalajara, among others. So this year is going to be very important. And part of the capital raise will help us to fuel the land acquisition, investment in infrastructure and that land, and of course, after that on buildings that will eventually generate income and importantly, at high returns.
Adrian Huerta: Thank you, Loren. And if I may ask a follow-up, what has been the rent per square meter, on average over the last two quarters on new assets that you deliver over the last two quarters? Within what range?
Lorenzo Dominique Berho: I mean frankly, I mean an average is a little bit difficult because of the different markets where we’re at. But what I can tell you is that rent increases have been quite high in all of the markets. So, I mean many of them are in the high double digits. Markets like Bajío Queretaro, for example. We are currently leasing at rents, which are, I don’t know, probably 20% to 25% above last year, previous year. So that’s quite high. Markets like Monterrey, rents have increased in the last couple of years by more than 50%. Tijuana has been growing at a sustainable way throughout the last four years at 15%, 20% per year per annum. So that’s why and so and rents vary from market-to-market. But what we are seeing today is historic high numbers. And as long as we see on the supply being limited in many of these markets, we only see rents to continue growing.
Adrian Huerta: But if you were to say a range on that rent per square meter, would you say $7 to $9 per month? Per square meter?
Lorenzo Dominique Berho: Per square foot per year? Yes, I mean we’re seeing rents in Mexico way above $10, and then in other markets like Tijuana, Juarez, in the, I don’t know, $8 to $9 per square foot range. But again, this depends a lot on the type of building, the type of asset, the type of lease tenant. But I think that the main message is that the trend is up. The fundamentals are incredibly strong and we’re having rents way higher than in the past on the new leases and in some cases even above market.
Adrian Huerta: Great. Thank you, Loren. Appreciate it.
Lorenzo Dominique Berho: Thank you. I Probably Adrian, probably a discussion on market-by-market on a following conversation would be more appropriate.
Adrian Huerta: Great, thanks.
Lorenzo Dominique Berho: Thank you.
Operator: Our next question comes from Jorel from Goldman Sachs. Your line is now open.
Jorel Guilloty: Good morning. Thank you for taking my question. I have two. So first one is I’m curious to know a little bit more about your criteria for divestments, because it’s very interesting that the asset that you ended up selling this last quarter was in one of the hottest markets in Mexico and Tijuana, and you sold it at a very attractive cap rate. So I just wanted to understand, how does a asset become go into the divestment category? What is the criteria? And also, given that you’re so focused on growing through the development, I mean, is the idea of becoming more of a merchant developer that is developing to sell more attractive. And then my second question is going back to what Alejandro was asking about your guidance for revenue growth. I just want to kind of understand the parts, because as we understand it, you’re growing GLA, or your pipeline right now is about 8% of your current GLA. Then you have U.S. CPI call it in the low single digits. I’m just trying to understand where the rest of that potential growth is coming from. Is it from leasing spreads? So any color you can provide will be helpful. Thank you.
Lorenzo Dominique Berho: Thank you, Jorel for being on the conversation and your question. So basically the rent growth comes from a combination of leasing spreads from the existing portfolio and our ability to convert vacant buildings or buildings under development into income producing assets. So basically the development pipeline. So it’s a combination of both. I cannot recall right now what, how much comes from one or the other, but it’s a balance of both. Probably next time we can give a little bit more clarity [indiscernible], so that everybody can know what comes from which. But I think that, again, one of the main attributes of Vesta is its ability on development and also its ability to increase rents. As was presented in this quarter, where we increased same store NOI growth year-over-year was 6.5%, approximately, with some leasing spreads coming between some leasing spreads and renewal spreads coming between 8% to 20%. So this is quite appealing. And if you combine – if we continue to deliver growth through development, and we continue to deliver rent growth through leasing spreads, I think that revenue growth will continue to kick in, not only this year, but in the following years. And revenue will change dramatically. Regarding the asset recycling. Yes, we sold one asset in Tijuana. We sold it to the current user. This was quite appealing from investment perspective, in which we held this property. We developed this property, I think, like 13 years, 15 years ago. So we have been able to lease it up to, actually there was – we had two different tenants. One was the initial tenant and then the other final tenant. So we thought that it was a good way to recycle capital with an existing user at a higher price. And is part, actually of our asset recycling program, where we think that we can crystallize value by recycling assets, selling assets, and we will continue to do so in the next years. We have done that in the past. We are doing it right now. And we will continue to do that in the future as long as we think that it could be a good value proposition. Yes. Tijuana is a market where we'll continue developing. It doesn't mean that we're exiting a market. It's just one asset. Where we saw an opportunity was more an opportunistic approach. But down the road, Tijuana is a market we will continue to invest through development. We have also done acquisitions in the past in Tijuana, opportunistically. And as long as we think that this is profitable, we will continue to acquire. Thank you.
Jorel Guilloty: And a quick follow up to that. I understand that the focus is to continue to develop for yield, for Vesta yield, not necessarily develop for asset sales.
Lorenzo Dominique Berho: Yes, we hold. We hold. And that's why it's only opportunistic every now and then.
Jorel Guilloty: Wonderful. Thank you.
Lorenzo Dominique Berho: Thank you.
Operator: Our next question comes from Pablo from Santander. Your line is now open.
Pablo Ricalde: Hello, Vesta team. Maybe I have two questions. One is a follow up on Alejandro's questions on Monterrey. But in this case, for the Bajio region, we saw a sharp improvement in occupancy. I don't know, how should we see occupancy in the Bajio region going forward? Do you think there's more room to improve there? You have a lot of buildings under construction there. So how should we think of occupancy for the Bajio region for 2024? That's my first question. And my second question is on your new energy disclosure. How should we see maybe these lines going forward? Do you expect aggressive growth there? Or you're expecting to be very stable for 2024 onwards?
Lorenzo Dominique Berho: Okay. I would probably answer on the Bajio, and then Juan, if you can help me on the energy side. So, we're clearly seeing very hot markets throughout Mexico and the Bajio is no exception. We were able to lease up buildings to different type of tenants in the region. Talking about Queretaro, the recent lease to Tesla was an important one. This is a distribution facility for Tesla, but electric vehicles, and we have also other clients in the electric vehicle business that are expanding operations. So fundamentals, so vacancy rates in the Bajio region are decreasing together with absorption being increasing strongly in all of the markets with these vacancy rates and the high absorption and actually the trends that we see from current clients and others. That's why we even decided to start some construction in some of the markets in the Bajio. But I think that throughout the last year, we saw a major decline on vacancies. And so developers that have good access to land, with infrastructure, with energy, good quality buildings and the ability to give that immediately, I think that's exactly the opportunity that we will continue to see. So we're quite happy with the recovery on the Bajio. On top of the increase in rents that we have seen the market rents that we saw over last year. So that dynamic, we think that will continue as long as the logistics, e-commerce, electric vehicles and manufacturing platforms supported by nearshoring keep on increasing throughout Mexico. Definitely Bajio will still benefit from that. So, we are very bullish on the Bajio and most of the other markets too.
Juan Sottil: Okay. Regarding the energy question, now we try to do is provide some clarity to our investors of how energy is going to change over the years. Bear in mind that we have several types of users of energy and they should be treated differently. Energy is not our core business. First of all are the energy that we sell to those non-tenants, customers where we have sold land reserves such as Equinix and Ascenty [ph], primarily in the Bajio region. Those energy sales, we move down the line. We move down EBITDA line on the other revenue, other income, rather, because they are not the core business of Vesta and they are non-clients of Vesta. The second distinction that we made is between the usual energy, the typical energy sales, energy payments that we do on behalf of our clients, where we basically have reimbursements, that is, we pay on behalf of our clients a certain amount, and then we recover back those amounts from them. That's what we have typically have done in the past. The new item that I would like to underline is those tenants that are heavy users of energy. We do have some clients that are heavy users of energy. As you know, we think ahead and provide infrastructure to help them and those heavy users, we decided to separate the revenues from those guys by putting a line in note 13 of our financials and open that line as well in the cost. So the revenue that we get from heavy users has a corresponding disclosure on the cost side. And what will happen there is that we believe that this energy income of heavy users will grow significantly over the next three to five years. And the only thing that we want to point out is that this business is really a convenience business to attract these clients for leasing, the spread on the energy is not significant. And we just wanted to provide the clarity by segregating the income and the cost so that you can take that into account. And that's about it. That's the basis of the segregation of the revenue and costs.
Pablo Ricalde: Thanks, Juan. This was very, very clear.
Operator: Next question comes from Alan Macias from Bank of America. Your line is now open.
Alan Macias: Hi, good morning, and thank you for the call. Just one question. At this point in time, is there any indication of potential new tenants slowing down leasing decisions due to election uncertainties? And also, have you seen any delays in acquiring permits and licenses due also to election times? Thank you.
Lorenzo Dominique Berho: Look, basically, clients business is risk. We don't see any slowdown due to any election, either in Mexico or in the U.S. We have a lot of demand, and demand is risk, and we're basically focusing in providing the product to our clients. I reiterate that we will continue to invest about $300 million in deployment over the next couple of years, because we see a lot of demand and we see brief leasing activities.
Juan Sottil: I would only add that this particular last quarter, we saw major transactions, which are long term investments and are long term decisions. The example of Tesla, the example of Foxconn, these companies are making decisions even last year, knowing that we have elections this year, and actually the whole world, I think, has elections. And even with that, companies are making long term decisions based on whatever they require in terms of global footprints. And I think that sets what happened last year sets an example. And this year we don't think that there will be an exception, even that we might be having elections. Many of the companies that are making decisions this year or that are taking space, let's say this year, they have already taken – they have already made their decisions in the past. So hopefully we don't have too much noise. Everybody knew about elections. Everybody knew about the alternatives and the possible outcomes in the elections. So that's why I think that companies feel comfortable on Mexico and making the long term decisions on – I mean regarding permitting and licensing, I think it's business as usual. I don't see any major difference. Thank you, Alan.
Alan Macias: Thank you.
Operator: Our next question comes from Felipe Barragán from BTG. Your line is now open.
Felipe Barragán: Hey, Vesta team, good morning. Thanks for taking my question and congrats on the great year. My question is a quick one. It's on the reduction on the pipeline in Juárez Oriente Queretaro [ph]. Could you touch on what drove that reduction and if we can expect this to see another developments in the coming years? Thank you.
Lorenzo Dominique Berho: The reduction…
Felipe Barragán: Yes, so if we look at the previous quarter from Juárez Oriente Queretaro and the development pipeline, it went down like 70,000 square feet. So I'm just curious what drove that adjustment?
Lorenzo Dominique Berho: All right. Thank you. Yes. Thank you for your question. Yes, this was interesting. So what we are developing right now is Juárez Oriente Queretaro and Juárez Oriente 4 [ph]. When we started those projects under development, the first one was leased to BRP. BRP is doing – has a major facility in Ciudad Juárez, actually two of them. And we leased a distribution facility. So we expanded one of the buildings and by expanding it, we had to reduce the footprint of the second building. So altogether it's the same GLA. It's a similar GLA. But we did as final adjustments when we started construction. I think this is a good example of many clients that want to take the space and lease up the buildings even before construction starts. So we did a minor adjustment here. But I think this was a great outcome that even before starting construction, we were able to lease a building to a great company for a distribution facility. And again, another good example, that companies are still growing in Juárez. Good companies. And we're taking advantage of that. So we have only one more building under development that is for lease. And we are in the marketing stage, which is Juárez Oriente Queretaro. Thank you.
Felipe Barragán: Great. Thank you very much.
Operator: Our next question comes from Alejandro Lavín from Santander Asset Management. Your line is now open.
Alejandro Lavín: Hi. Good morning, everyone. Thank you for taking my question. So I have a couple of quick questions on M&A. So, as always, you have been opportunistic this time recently selling assets at 4%, buying at 8%. So going forward, my first question is on asset sales. What could be the potential size of this asset recycling program? I mean, how much could it be worth? Obviously, depending on the opportunity. And the second quick question on acquisitions, you have plenty of firepower. You have an attractive development pipeline. But what if you have the opportunity to make a big stabilized acquisition? Let's call it for 100, couple million dollars, maybe even bigger. So could you be willing to consider a big acquisition? Thank you.
Lorenzo Dominique Berho: Thank you, Alejandro, for being on the call. So I think that I'll take this opportunity to mention that, Vesta, we don't like to acquire just for growth. That's not our main driver on acquisitions. So that's why, in Vesta, you will continue to see that we will acquire only opportunistically and only if it adds value for our shareholders. That's why we have passed along many acquisitions, and more importantly, on larger portfolio acquisitions, which we believe are not drivers of value for shareholders. But every now and then, there's opportunistic acquisitions, like the ones that we did, and we will continue to analyze those. And as long as we think that they're in line to our strategy, we will continue to pursue those. However, we're very happy with the development pipeline that we have been able to identify more profitably than acquisitions, and we will continue to focus on that path. And on the disposition side, as you remember, part of the level three strategy was to have an asset recycling program where we have sold. I believe the plan was for 300 million. And I think that we have sold, I don't know, let's say $250 million approximately in the last cycle or the last business plan cycle. Nevertheless, end of this year, we will be providing a new five-year plan for next year and beyond. And I think part of that plan will incorporate also a strategy on asset recycling. And we will give more priority on our Vesta Day. And – but definitely, we think that all of these are drivers of value as long as they're profitable. And we will continue to sell high, we will continue to buy low. And net asset value per share growth, as well as FFO per share growth are what we believe the main drivers of profitability. And that's going to keep on being our main focus.
Alejandro Lavín: Right. Thank you. And congrats on a solid year.
Lorenzo Dominique Berho: Thank you.
Operator: Our next question comes from Francisco Chávez from BBVA. Your line is now open.
Francisco Chávez: Hi, Lorenzo, Juan and Fernanda. Thanks for the call. Just to follow up on rents on the Bajio region, can you give us an idea on the specifics of the new contracts that you signed in the Bajio with Tesla and Foxconn arranging price? Or are these U.S. dollar denominated? What is the average term of those contracts? Thank you.
Lorenzo Dominique Berho: Sure. Thank you for your question. I mean, on the call, I think that Foxconn, Tesla, I would even say that all of our leases have been in the quarter in dollar terms, and all of them are the standard of a best lease, which is in the longer-term period with annual adjustments and rents are again at market or even a bit above market. And I think that these are good examples of what we will continue to focus on in the future, which is having new buildings with great companies, long-term leases adjusted to – adjusted with annually. And so the business proposition is the same one. What I think is more attractive is the type of tenants that Vesta is looking for. We have always said that we'd rather have an empty building than a lousy client. And that's why, if you just look at the quality of the tenants on the Vesta portfolio, I don't think that there's none other portfolio in all Mexico with the quality of Vesta and the quality of tenants that Vesta has. And this is a good example of the discipline that we have maintained throughout the years.
Francisco Chávez: Great. Thanks so much.
Operator: The next question comes from Juan Macedo from GBM. Your line is now open.
Juan Macedo: Thanks for the call and congrats on the results. I have two questions. The first one is regarding the Toluca acquisition. You mentioned the property list 21 tenants, but could you give us more detail on this kind of property Toluca operation? And the second question is on the Queretaro land bank. We saw a mild increase in reserves, but you also initiated a new project in Queretaro that should have diminished reserves. Was there a land acquisition in Queretaro or something else that included acquisition in Queretaro?
Lorenzo Dominique Berho: Thank you for your question and thank you for being on the call, I think that Queretaro, I think the reduction is because I think we're developing a build-to-suit in Queretaro. So we use part of the land bank for that build-to-suit as well as another spec building. And that's why it has a minor adjustment. And as you know, we are mark-to-market our land bank as well as the rest of the portfolio. Probably the adjustment comes from there. Additionally – and basically on the acquisition in Toluca. This building was part of a three property portfolio acquisition we did throughout the year. And this was the last one. And these are suppliers of Stellantis. And Stellantis, as you know, has an important plan on electric vehicles in the region. So these are suppliers that actually we already have those tenants in other markets of Mexico. So we feel very comfortable with the market. We feel very comfortable with the type of tenant, the industry. And again, when we are able to acquire assets at below replacement costs, good quality assets and attractive cap rate, I think this is a good example on our approach on acquisition. Even though this was minor, I think that we want to emphasize our discipline on acquisitions and our discipline on the investment cycle.
Juan Macedo: Yes. Thanks for the detail.
Lorenzo Dominique Berho: Thank you.
Operator: Our next question comes from Hugo Grassi from Citibank. Your line is now open.
Hugo Grassi: Hi, gentlemen, this is Hugo from Andre Mazini's team here at Citi. Thank you. Congratulations on the quarter results. And thank you for the space. I would like to go back to the topic of the guidance that you disclosed, and I wonder how much it looks to us on the conservative side the fact that the top line growth projections reduced year-on-year. And we wonder how much of that has to do with changes to macro conditions. And more specifically, how much the changes to projections of U.S. inflation reflecting on U.S. denominated contracts – U.S. dollar denominated contracts, or asking perhaps from another angle, if you were to keep U.S. inflation constant, would we perhaps see a guidance more in line with top line growth seen last year? That's on my side.
Juan Sottil: Let me just answer. Guidance is a good topic to talk about, but please bear in mind that Vesta has always been a conservative company. I rather be conservative, bear in mind, conservative is a double-digit growth in sales. Let's keep that in perspective. It has to do with the pace of construction, the pace of leasing. We don't want to over promise. I mean, we will deploy $300 million. It takes time to build up the pipeline and it takes some time, even today, with so much demand to lease the properties to the ideal tenants. I think that the guidance that we provide is quite reasonable. I wouldn't focus on the fact that we achieved 20% plus increase in sales and I provided a lesser growth rate on 2024. I will focus that it's a double-digit growth and that we're deploying significant amount of cash into buildings and we will continue to do so.
Hugo Grassi: All right. Thank you.
Lorenzo Dominique Berho: Okay.
Operator: Our next question comes from Isabela Salazar from GBM. Your line is now open.
Isabela Salazar: Hello. Thank you for taking my question. I was wondering if you could offer some more color on your anticipated CapEx deployment for the coming year, on top of the current pending 95 million you have to complete the pipeline?
Lorenzo Dominique Berho: Sorry, can you repeat the question?
Isabela Salazar: Sure. I was wondering if you could offer some color on your anticipated CapEx deployment for the upcoming year on top of the current pending 95 million you already have to complete the pipeline that should be delivered by mid-2024.
Lorenzo Dominique Berho: I mean, I don't like to commit to a number of deployment of cash because we never do. But I do see this year deploying a little bit over $300 million. And there will be some land acquisitions in some key markets, and we're working on those as we speak, and we will continue to develop buildings where we see opportunity growing clearly, the north part of the country. We see those opportunities, Guadalajara, and we will focus on those. The delivery of the buildings are in time, and we see demand across the board at significant higher rents. So as we continue to see higher rents, that opens up opportunity to buy land, even if it's pricey. And as long as the acquisition of land and the deployment of cash is accretive, we will push on the pedal. So, as we have said, we're pretty much leaning forward on this year.
Isabela Salazar: Perfect. Thank you.
Operator: No further questions. I'd now like to turn back the call over to Mr. Berho for his concluding remarks. Please go ahead, sir.
Lorenzo Dominique Berho: Thank you, operator. And thank you, everyone, for joining us today. I'd also like to take this opportunity to comment that Juan underwent surgery in December, and Juan returned to his full responsibilities two weeks after the procedure and has since then made a near full recovery. So as we look forward to the year ahead, I'd like to note that 2024 is the final year of strong execution on our level three strategy. We'll also be presenting our plan for the next phase of our journey and continued evolution at our 2024 Vesta Day. My team and I are committed to further value creation and on fulfilling our responsibilities to our stakeholders. Thank you, everyone, and see you on our next call.
Operator: This concludes today's conference. You may now disconnect your lines. Thank you for your participation.